Operator: Welcome to the RLJ Lodging Trust Third Quarter 2023 Earnings Call. [Operator Instructions] I would now like to turn the call over to Nikhil Bhalla, RLJ's Senior Vice President, Finance and Treasurer. Please go ahead. 
Nikhil Bhalla : Thank you, operator. Good afternoon, and welcome to RLJ Lodging Trust's 2023 Third Quarter Earnings Call. On today's call, Leslie Hale, our President and Chief Executive Officer, will discuss key highlights for the quarter; Sean Mahoney, our Executive Vice President and Chief Financial Officer, will discuss the company's financial results; Tom Bardenett, our Chief Operating Officer, will be available for Q&A.  Forward-looking statements made on this call are subject to numerous risks and uncertainties that may lead the company's actual results to differ materially from what had been communicated. Factors that may impact the results of the company can be found in the company's 10-Q and other reports filed with the SEC. The company undertakes no obligation to update forward-looking statements. Also, as we discuss certain non-GAAP measures, it may be helpful to review the reconciliations to GAAP located in our press release.  Finally, please refer to the schedule of supplemental information, which was posted to our website last night, which includes our pro forma operating results for our current hotel portfolio.  I will now turn the call over to Leslie. 
Leslie Hale : Thanks, Nikhil. Good afternoon, everyone, and thank you for joining us today. Our third quarter results reflect the benefits of our urban-centric portfolio, which is ideally positioned to capture the emerging trends as evidenced by our RevPAR growth exceeding the industry for the third straight quarter. Our above-industry results were led by our urban markets, which are disproportionately benefiting from positive trends across all segments of demand. We were particularly pleased to see these trends accelerate throughout the quarter, culminating with September achieving new highs.  Overall, we remain constructive on the help of lodging fundamentals, which continue to unfold with favorable trends for our portfolio. With respect to our operating performance, despite the impact of several weather-related events, our third quarter RevPAR grew 3.4% year-over-year, which was 2x the industry and achieved 98% of 2019, representing a 200 basis point improvement from the prior quarter. Our RevPAR growth was balanced between occupancy and ADR, demonstrating additional run room in demand and continued pricing power across our portfolio.  With sequential improvement during the quarter, our September RevPAR grew 5.8%, which allowed our portfolio RevPAR to exceed 2019 levels for the first time. These encouraging trends carried into October. Our urban markets grew 4.2% over last year, benefiting from the consistent improvement in business demand. These markets also benefited from ongoing robust group demand and healthy urban leisure trends with a return of large-scale events and improving inbound international demand. These positive trends enabled our urban markets, such as Boston, D.C., and New York to achieve low double-digit RevPAR growth over last year.  Our top line also continues to benefit from the expansion of non-room revenues as a result of our revenue enhancement initiatives, such as space reconfigurations, F&B re-concepting, and other initiatives.  In the third quarter, non-room revenues grew by 12.7% and led our total revenues to grow by 4.9%. This momentum accelerated in September with total revenues increasing by 6.9% over last year. In terms of segmentation, our business transient segment continues to have a positive trajectory. This enabled us to achieve the highest level of revenues post the pandemic at 75% of 2019 levels, a 400 basis point increase over the second quarter.  On a year-over-year basis, business transient revenues increased by 11%. Notably, room nights improved by over 400 basis points to achieve 90% of 2019, demonstrating continued improvement in BT demand, which was led by SMEs and positive momentum in our national corporate accounts from industries such as industrial, telecom, and technology. Improving business demand trends were also evident in our weekday revenues, which grew by 4% year-over-year.  Similar to our overall portfolio, our business transient trends accelerated throughout the quarter, with September achieving 21% revenue growth above 2022. Going forward, we expect the strengthening of these trends to be further bolstered by the progress relative to national return to office mandates. With regards to group, our strong booking dynamics continued in the third quarter as group revenue grew by 4% over last year. Our group base has broadened to include more corporate and self-contained groups. This robust group demand led our third quarter group revenues to achieve 104% of 2019 levels, driven by ADR, which exceeded 2019 by 15% during the quarter.  We remain bullish on our portfolio's ability to capture group demand as evidenced by the strength in our, in the quarter for the quarter bookings, which represented nearly 20% of group revenues. As it relates to leisure, while resorts continue to normalize during the quarter for the industry, our leisure segment outperformed due to the ongoing strength in urban leisure, which benefited from strong attendance at various concerts as well as sporting events. This allowed our urban weekend RevPAR to increase by 4% over last year during the third quarter.  Turning to the bottom line. Flow through from our strong revenue growth allowed us to achieve EBITDA margins of 29.3%, which is only 206 basis points below last year. With expense growth continuing to normalize, our lean operating model should allow our margins to benefit more on a relative basis. In addition to reporting strong quarterly results, we also made progress on a number of capital allocation objectives, including the continuing ramp-up of our 2022 conversions, which are exceeding 2019 levels and our underwriting on all metrics. These conversions achieved aggregate RevPAR that was over 16% above 2019 in the third quarter. With a multiyear ramp ahead, we expect these conversions to continue to contribute to our future growth.  Additionally, we made progress on our recently announced 2023 conversions. These properties are already seeing a positive response to their new brand affiliation, and we expect renovations over the next several months to unlock significant growth. We also continue to allocate capital in a disciplined manner. This quarter, we enhanced total shareholder returns through a 25% increase in our quarterly dividend and repurchased nearly $15 million of common shares, bringing our total shares repurchased to date to $70 million.  The progress we have made on multiple capital allocation opportunities simultaneously continues to underscore the optionality of our strong balance sheet. Looking ahead, while recognizing that the overall macroenvironment remains uncertain, we believe that the current environment remains constructive for lodging fundamentals. We are encouraged that the strong industry trends that we saw in September carried into October.  Against this backdrop, we expect our performance to sequentially improve in the fourth quarter. Given our urban footprint, which should continue to see above industry growth driven by improving business transient, healthy leisure demand as we approach the holiday season as well as emerging international demand, the continuing ramp-up of our 2022 conversions and other initiatives. Our strong group pace, which is being led by small and medium-sized group and is already significantly ahead of last year by 23% and strong citywide in key markets such as Atlanta, Boston, Washington, D.C., and Northern California.  These robust group trends are also carrying into 2024, where our group pace is 22% above last year, including being meaningfully ahead in key markets such as Southern California by 82%, Tampa by 37%, and Northern California by 21%. Looking beyond this year, we believe that the positive backdrop for industry fundamentals will continue, giving the shift of consumer preferences towards experiences, steady improvement in business demand, recovering international travel, and citywide events returning to pre-pandemic levels.  We expect these trends to continue to disproportionately benefit urban markets, allowing them to outpace the industry, especially with a muted new supply outlook over the next several years. As this new normal unfolds, RLJ is well positioned to capture all segments of demand. In recent years, we have intentionally repositioned our portfolio into prime locations within urban markets that benefit from 7-day a week demand. As such, our portfolio is built to capture these emerging trends in addition to the tailwinds from our acquisitions and conversions. We believe that all of these unique factors should enable us to continue to exceed industry growth.  Finally, I want to mention that we will be showcasing one of our recent conversions, the Pierside in Santa Monica in November, and we look forward to hosting many of you for our property tour before NAREIT begins. We believe that experiencing the transformation will help investors to truly understand the value we are creating.  I will now turn the call over to Sean. Sean? 
Sean Mahoney : Thanks, Leslie. To start, our comparable numbers include our 96 hotels owned throughout the third quarter. Our reported corporate adjusted EBITDA and FFO include operating results from all sold and acquired hotels during RLJ's ownership period. We are pleased to report strong third quarter operating results, which were consistent with our expectations.  Our third quarter RevPAR growth of 3.4% was primarily the result of a 1.5% increase in ADR and a 1.9% increase in occupancy. Third quarter portfolio occupancy was 74.1%, which was 92% of 2019 levels. Average daily rate was $191, achieving 106% of 2019 and RevPAR was $142, which was 98% of 2019. Our third quarter results were primarily driven by our urban markets, where RevPAR achieved 99% of 2019 levels.  Most of our urban markets meaningfully exceeded 2019 such as New York at 113%, Louisville at 105%, San Diego at 112%, Washington, D.C. at 111%, Tampa at 139%, and Pittsburgh at 120%. Monthly RevPAR growth throughout the third quarter exceeded 2022 for each month. RevPAR growth above 2022 was 0.7% in July, 4% in August, and 5.8% in September and achieved 96%, 94%, and 103% of 2019 levels during July, August, and September, respectively.  Similar to RevPAR, our monthly total revenue growth above 2022 accelerated throughout the third quarter and was 2.9% in July, 5.1% in August and 6.9% in September and achieved 99%, 96%, and 106% of 2019 levels during July, August, and September, respectively. The positive momentum from September continued into October, the most significant month of the fourth quarter, where forecasted RevPAR is approximately $160, representing a 6% increase from 2022 and 101% of 2019. October RevPAR was driven by occupancy of 77% and ADR of approximately $208, representing 94% and 107% of 2019 levels and 104% and 102% of October 2022.  While demand remained strong during the third quarter, hotel operating costs continued to normalize. Underscoring the benefits of our portfolio construct and realization of our initiatives to redefine the operating cost model, total third quarter hotel operating costs were only 5% above 2019 levels, which is meaningfully below the aggregate core CPI growth rate since 2019. There are many factors that influence these positive results with the most significant contributors being the successful restructuring of many of our third-party operating agreements, our lean operating model with fewer FTEs and reductions in property taxes, all of which are expected to continue benefiting our operating costs.  Third quarter wages and benefits, our most significant operating cost at approximately 40% of total costs remained generally in line with 2019 levels as a result of our hotel's ability to continue operating with 17% fewer FTEs than pre-COVID, demonstrating the flexibility of our labor model in this environment. Our portfolio remains better positioned for the current labor environment due to the need for fewer FTEs given our lean operating model, smaller footprints, limited F&B operations, and longer length of stay.  Our third quarter operating trends led our portfolio to achieve hotel EBITDA of $98.1 million and hotel EBITDA margins of 29.3%. Our margins were 206 basis points lower than the comparable quarter of 2022. We were generally pleased with our operating margin performance in light of both difficult comps to the third quarter of 2022, where margins benefited from pandemic levels of hotel operating costs and the inflationary pressure on hotel operating costs, which is improving.  Turning to the bottom line. Our third quarter adjusted EBITDA was $88.8 million and adjusted FFO per share was $0.40, both of which were within our guidance ranges. We remained active in managing our balance sheet to create additional flexibility and further lower our cost of capital. This year, we have extended $425 million of debt to 2024, recast our $600 million corporate revolver and entered into a new $225 million term loan. The execution of these transactions is a testament to our strong lender relationships and favorable credit profile.  We have also taken advantage of continuing interest rate volatility to proactively manage our interest rate risk by entering into $450 million of new interest rate swaps. Today, our balance sheet is well positioned with an undrawn corporate revolver. Our current weighted average maturity is approximately 3.2 years. 81 of our 96 hotels are unencumbered by debt. Our weighted average interest rate is an attractive 3.97% and 93% of debt is either fixed or hedged.  Turning to liquidity. We ended the quarter with approximately $495 million of unrestricted cash, $600 million of availability on our corporate revolver and $2.2 billion of debt. With respect to capital allocation, as Leslie said, we remain committed to returning capital to shareholders through a combination of both share repurchases and dividends. During the third quarter, we were active under our $250 million share repurchase program and repurchased approximately 1.5 million shares for $14.4 million at an average price of $9.81 per share.  In total, during 2023, we have repurchased approximately 6.9 million shares for $70 million at an average price of $10.12 per share, including $2.7 million repurchased so far during the fourth quarter. Additionally, last quarter, our Board authorized the third increase of our quarterly dividend since last summer to $0.10 per share for the third quarter. Our dividend remains well covered and supported by our free cash flow.  We will continue making prudent capital allocation decisions to position our portfolio to drive results during the entire lodging cycle, while monitoring the financing markets to identify additional opportunities to improve the laddering of our maturities, reduce our weighted average cost of debt, and increase our overall balance sheet flexibility.  Turning to our outlook. Based on our current view, we are providing fourth quarter guidance that anticipates a continuation of the current operating and macroeconomic environment. For the fourth quarter, we expect comparable RevPAR between $129.50 and $134.50, comparable hotel EBITDA between $82 million and $92 million, corporate adjusted EBITDA between $73 million and $83 million, and adjusted FFO per diluted share between $0.30 and $0.36.  Our outlook assumes no additional acquisitions, dispositions, refinancings, or share repurchases. Please refer to the supplemental information, which includes comparable 2019 and 2022 quarterly and annual operating results for our 96 hotel portfolio.  Finally, we continue to estimate RLJ capital expenditures will be in the range of $100 million to $120 million during 2023.  Thank you, and this concludes our prepared remarks. We will now open the line for Q&A. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Michael Bellisario with Baird. 
Michael Bellisario : Leslie, big picture. Maybe can you give us your thoughts on kind of the industry outlook for '24, how you think the various customer segments might perform? And then really, the follow-up here is probably my more important question, just how you think the RLJ portfolio will perform on a relative basis, just overlaying the customer segments there, that would be helpful. 
Leslie Hale : Sure. Mike, obviously, we're sober about the uncertainty that still sort of lays in the overall macro environment. But having said all of that, fundamentals remain stable. And there's nothing that we're seeing today that suggests that the trends that we're seeing won't carry into 2024. We expect business transient to continue to gradually improve based on not only current trends, but also what's going on from an office, return to office trends as well.  From a group perspective, group booking trends continue to be very strong. Our pace is at 122% versus last year already. And then we expect urban markets to continue to benefit from all segments of the demand, including urban leisure and the emerging international trends that are doing well in both New York and South Florida. So when we overlay our portfolio, we continue to expect to track with urban markets. We expect urban to continue to outperform as it benefits from all those different segments in demand.  When we think about markets that we're most positive on for next year, Southern California, Tampa, Boston, San Diego and Atlanta come to mind. But in general, we think the setup for next year bodes well for our portfolio as the new normal continues to unfold. 
Operator: Our next question comes from the line of Dori Kesten with Wells Fargo. 
Dori Kesten : I know you're regularly receiving inbound interest for your hotels. Is there a trend in location or perhaps brand that you've seen of late in that? 
Leslie Hale : In terms of inbound inquiry, Dori, is that what you're saying? Is that what you're asking? 
Dori Kesten : Yes. 
Leslie Hale : No. I mean I would say that in general, it's sort of broad strokes, Dori. I think that most of the inbound calls candidly are for bottom feeders who are looking for distress. And because of our balance sheet and the strength of liquidity we have, we don't have to sell against this negative backdrop, but we can obviously be opportunistic and it can be thoughtful about things from a disposition perspective. We obviously have 97 assets in -- we'll continue to be an active portfolio manager and evaluate where trends are heading on a market-by-market basis and adjust accordingly. But inbound calls are generally around bottom feeding across spectrum for different reasons. 
Dori Kesten : Do you -- I mean, I recognize it's difficult, but do you imagine being a net fire as a result next year just given your balance sheet? 
Leslie Hale : Look, I think it's unclear whether it's a net buyer or a seller. I mean that's going to unfold based on dynamics. But what I would say to you is that there has been a constructive shift in the mindset of sellers today where sellers are starting to accept the fact that interest rates are going to be higher for longer and the viability of hanging on to assets may not be viable for some. And so therefore, that will create attractive buying opportunities for all cash buyers like ourselves. 
Operator: Our next question comes from the line of Bill Crow with Raymond James. 
William Crow : Sean, I appreciate the color on the operating expenses. And I'm curious of these attributes that you highlighted, set you up in 2024 to be able to achieve breakeven EBITDA margins and maybe a lower level of revenue growth than your full-service peers. 
Sean Mahoney : Yes. Thanks, Bill. Great question. I think on a relative basis, because of the attributes, particularly around FTEs to our lean operating model, we would expect on balance to be a little better positioned than full-service hotels because of that. I think industry-wide, we think breakeven margins next year are somewhere slightly below 4% for the industry. And we expect next year's operating expenses, the growth because the operating expenses, the growth rate has moderated throughout the year, we would expect next year's operating expense growth to mirror what the inflation is going to be next year. 
William Crow : Okay. I'm curious, I assume you all are net beneficiaries of the slightly improved return to office rate, is this also hurting the shoulder night demand? 
Tom Bardenett : Yes. Bill, it's Tom. What we're seeing is Monday, Tuesday, Wednesday is still where the most amount of growth is weekday. When we look at our Sundays and Thursdays, which is what you're referring to on shoulder nights, still having growth in regards to Sunday coming back at '19 levels. And then what you're also seeing on Thursday is we still see that hybrid work environment still is a positive. But the most amount of growth that we're seeing 23 versus '22 is Monday, Tuesday, Wednesday, which is kind of a leading indicator in regards to what Leslie was referring to on the business transient side.  And what's also driving that is your national corporate accounts are now starting to show up at more regular amounts compared to the SMEs which were the driving factor previously. So shoulder nights are still good, it still has opportunities to grow compared to 2019 and Thursday being the best because of, obviously, the weekend way we can price that because it's an arrival day versus a departure date. 
Leslie Hale : Yes. And what I would add, just to add on to that comment is that when you look at the construct of our portfolio, we're built to capture 7-day week demand. So when we look at our midweek trends Tom gave you, we were up 4%. If we look at our urban weekends, we're up 4.2% -- 4.6% rather year-over-year. And so we're seeing it spread and we're capturing in our portfolio. 
Operator: Our next question comes from the line of Gregory Miller with Truist. 
Gregory Miller : I'll start off on a related question from Dori. In terms of the mix, does the recovery of New York City change your strategy or hold period on that property? 
Leslie Hale : No. I think the NIC is fitting nicely in our portfolio from a standpoint of urban lifestyle asset, how it's performing, how New York is performing, the limited amount of meeting space and F&B, that asset fits right into the contract of our portfolio. And so no, it doesn't change today. 
Gregory Miller : Okay. And this is on operating question. If we were to compare operating profit margins in 4Q between your select service hotels and your full-service hotels, which group of properties would you expect to have superior hotel margins year-over-year, upscale versus upper upscale. 
Sean Mahoney : Yes, Greg, I think whether it's 3Q or 4Q, our select service assets perform or operate at a higher margin because of the lean operating model and the lower FTEs. And so I would -- what our trends have been and we expect to continue on an operating margin perspective is the select service assets will perform better than the full-service assets. 
Gregory Miller : I should have specified as more referring to the year-over-year change between upscale versus upper upscale. 
Sean Mahoney : Yes, I think that trend would also hold as well for year-over-year change as well as whole dollars. 
Operator: Our next question comes from the line of Tyler Batory with Oppenheimer. 
Tyler Batory : A few questions on the group side of things, which I think given the nature of your portfolio, sometimes might get a little bit overlooked. What percentage of your mix right now is group -- the strong bookings that you're seeing, is this a new normal? Is this still some sort of a catch-up post COVID? Is this just people booking farther in advance, maybe all of the above? And then when you look at some of the conversions that you have planned, are there opportunities to reposition some of those assets to be even more attractive to the group customers? Is that something that you're considering? 
Leslie Hale : So Tyler, I'll take the first question, Tom will take the second. What I would say is that on the strong booking dynamics, we are -- from a demand perspective, we're about 10% below 2019 levels, so there's still room to grow there.  What I would say is that we've seen strong conversion rates. We've seen the booking window, creating an environment where we have strong in the quarter for the quarter production, which is about 20% of our revenues, all of that is creating strong pricing power. And so our total revenues for group were at 104% of 2019 levels and up 4% year-over-year.  Our rate is 115% of 2019 levels and up 7% year-over-year. And it's really being driven by small group and in-house group, which is our bread and butter. And so I think the dynamic is that small group and in-house group is going to be a greater percentage of group contribution overall for, I think, for the industry. And our portfolio is built to capture that. Our group right now from a contribution sits at about 18%.  Historically, it's been at 20%. So there's room for incremental contribution there. But what I would say is that the nuance is what is driving group today and it's a small group, and that fits right in the wheelhouse of our efficient boxes. It's more intimate space to be in when you have a small group. And so I think we're winning on that front. 
Tom Bardenett : And I'll take your second question, Tyler, and that's about the conversions. I'll give you some proof points and some examples that I think have really shown up since our conversions that were already in process.  So for instance, as you know, in Nashville, we just converted in the late July, early August period. And early indications now that we're at Tapestry within the Hilton system, we already have about 70 group leads that have come. We booked significant more business based on the relationship that we have. We have some meeting space at that location. So we think we can change the mix with more group and pretty profitable group midweek because that's what you want in Nashville versus weekends where everybody benefits from leisure.  Another proof point is when we think about our Mills House in Charleston, and we became a Curio and in the Hilton system, also very powerful group leads. The type of banquets and lounge activity we have with group. It's more of an incentive group and a variety of different things that happen with the Hilton system in a proof point is it's a higher average rate as well. Just this quarter alone, we were about $100 higher than we were previous quarter. That's a significant movement.  Some of that is related to the type of group business. And then obviously, being at the top of the food chain within Hilton and the Charleston drive to market, has also proven. But I think overall, group is a positive move in our portfolio. I do believe we'll get back to those percentages because of the demand that's still left in the tank. And average rate is carrying right now the current structure in regards to why we're over 2019 levels. 
Operator: Our next question comes from the line of Chris Woronka with Deutsche Bank. 
Chris Woronka : Good afternoon, everyone. So I think there was a question earlier in the Q&A, kind of around shoulder periods. And my follow-up on that is, is that -- as you go back and kind of scrub your historical books? I mean is that any kind of indication that an early indication, I guess, of a broader slowdown?  And secondarily, I heard your comments about monthly RevPAR progression, August seems to be every year not as good as the last one. Is there something changing there, and do we have to start looking at August differently? And does that impact any other months? Are there shifts that are making certain months stronger and others weaker? 
Tom Bardenett : Yes. When we look at our August, it performed better than 2022. It was the second best month of the quarter. So it didn't compare to September, but it still had a 4% growth in year-over-year. I always think about August is you're not going to have significant growth because it's the back-to-school month in those last 2 weeks. So you really have to get that growth in the first couple of weeks as I think about that month just to answer August question. 
Leslie Hale : Well, also don't forget, August had -- was impacted by hurricanes. It also was impacted by extreme hot weather in Texas and NOLA as well. So that's embedded in August as well. And Chris, on your question on -- in terms of the shoulders, can you restate that, so we can understand like what's the nuance you're focused on? 
Chris Woronka : Yes, just the question would be, is that -- do you think that's an indication, does the broader weakness start with shoulder periods, right? So everybody is going to still travel for holidays, but do they -- is it the weekend trip in early December that gets cut first. 
Leslie Hale : Yes. We're not really sort of seeing a degradation in our weekends. As I mentioned before, our weekends for our portfolio are up 4% over last year. Our weekends for our urban is up 4.6%. Keep in mind that we're benefiting from what's happening in large events, the concert sporting season is here, so we're not seeing a degradation or waning. Thursday continues to be a check-in for us.  We think that with the new backdrop around flexibility that the live, work, play environment is benefiting our portfolio. As Tom mentioned before, we're seeing more growth on Monday, Tuesday, Wednesday because that's where there's a lot of room left to recover. But overall, we wouldn't characterize as a shoulders as being weak or slowing down. 
Sean Mahoney : And then the other thing to add, Chris, on your question around sort of the relative seasonality of the months, et cetera, that has not changed for the third quarter. September has always been an important month volume wise and was strong for us. In the fourth quarter, October is the big volume month, and that continues to be important. It's roughly 40% of the top line and 50% of the bottom line for the entire quarter, which is sort of a -- so from a relative seasonality importance for the month, that has not shifted. 
Chris Woronka : Sean, and just a follow-up. I may have missed something earlier, but on insurance, I think you might have mentioned what the renewal period looks like. And is there any thoughts as to what that looks like next year. I think we're all kind of constantly amazed at the pressure on insurance. And I guess, is there any hope of relief but more importantly, just where does that hit the year and when would that renew? 
Sean Mahoney : Sure. I mean property insurance is a headwind for all real estate, including hotels. Our -- we've had relatively favorable renewals over the last couple of years. We're actually in the market today. We renew over the next week or so. And so I'm really not going to -- I can't and shouldn't comment about anything on the renewal for this year. But I think that -- I think your commentary around there being pressure on the overall insurance market is consistent with us.  I think on a relative positioning, those that have -- do not have significant claim history, and we are in that camp. We've screened very well from a claim history perspective or lack thereof. And so on balance, we expect to have more favorable renewal terms relative to the market, but still be a net headwind for everybody as the industry is seeing. 
Operator: Our next question comes from the line of Austin Wurschmidt with KeyBanc. 
Austin Wurschmidt : I wanted to hit on October. You guys highlighted RevPAR growth was up 6%. The largest contributor to the fourth quarter results. And I believe the midpoint of the fourth quarter RevPAR guidance range is in that mid to high 3% range. I know we're late in the year and it's a little bit difficult to forecast around the holidays, but curious if there's anything you're seeing in the pace figures over the next 30 to 60 days that cautions you and what it would take, I guess, for you to get comfortable or what it would take for you to get to the higher end of that range? 
Leslie Hale : I would say that overall, Austin, I think what you're alluding to is just normal seasonality, right? So as Sean mentioned, October is generally a significant contributor for the quarter. It was relatively strong, but what you're seeing in November and December is just normal seasonality. I think overall, we expect our portfolio to track with urban as expected. We think that urban is going to continue to outperform.  And from a pace perspective in terms of what you mentioned, we expect urban leisure to do well as we kind of move into the holidays. Our group pace for the fourth quarter is about 122%, 123% of over last year, and we're on par with 2019. So I think what you're seeing in the numbers is just simply normal seasonality, but we're not seeing degradation in what we consider from a demand perspective.  What I would also say to you is that October just as another data point, hit a new high on occupancy at 94% of 2019 level. So I think it's just another proof point around just the general trend line. 
Austin Wurschmidt : Yes. And I understand that the seasonality was more just thinking comping year-over-year if there was something specific. 
Sean Mahoney : Yes. And Austin, just to jump in. We expect year-over-year growth in every month of the quarter, and that -- and the variation on year-over-year growth is not going to dramatically vary quarter-over-quarter, maybe a couple of points here and there, but it will -- we expect year-over-year growth every month of the quarter. 
Austin Wurschmidt : Okay. That's helpful. And then, Leslie, you highlighted the strength in your in-house group business in Northern California next year despite some of the well-known challenges around just citywide more broadly in that market. But I guess, how do you expect the Northern California region to perform overall relative to your broader portfolio next year just with that kind of positive group backdrop that you highlighted? 
Leslie Hale : Well, let me just sort of frame and I'll let Tom jump in with some color. Just to remind you, right, our footprint is diversified within Northern California. We only have 2 assets that are in the CBD, less than 600 keys and 3% of our rooms. And we -- and as you correctly stated, we really rely on in-house group, which is what's allowing our pace for 2024 to be ahead of last year by 21%. 
Tom Bardenett : Yes. And Austin, what I would tag on is a couple of things. First and foremost, as we know, our footprint is not just CBD, but I will start with CBD because I think there is some decent news in regards to what's expected when we think about next year. And a jump-off point is we were looking at international payment, and we were looking at the forecast for next year. And specifically, we were focused on, obviously, China being a #1 contributor in the past. So as an example, when we were looking at the payment in the San Francisco International, most recently in July and August, they were at 96% and 92% of 2019 levels, which is encouraging because year-to-date, they're only at 90% in San Francisco.  Then we broke it down to a smaller group, and we've looked at categories of where people are traveling from, and China, which was only at 29% in 2023 is expected to be at 74% in 2024. And the reason that is, is because they've already changed the flights coming in over the last couple of months for future dates, which is encouraging. For instance, in the month of August, they only had 12 weekly slots and they went up to 18 in September and 24 in October. So the pace to be able to book future in San Francisco from China is there.  And just as an example, in visitor spend, what they're projecting from China is only about $406 million this year. They could potentially get to $1 billion next year and '19 levels were $1.2 billion. So when we talk about international, that's really important for San Francisco because we all know the Moscone story and what's happening there and there's -- those will be up and down depending upon what happens. But I think the other thing that we're also excited about is there's an event this year that we think is going to be critical to be able to set the tone for future years, and it's called APAC in November.  So for instance, 21 head of states are coming in from November 5 through November 17. So literally just checking in this weekend for about 10 nights. And we think that's going to help a little bit of activity knowing that it's going to be on the radar in regards to another place to come from Asia Pacific and have events, which we can only help Moscone in 24, 25 as we look at the tentative that are on the books to set the stage for next year.  And then lastly, I would say when we think about our airport, Emeryville and Silicon Valley, that back to office and AI, we're starting to see a little bit more growth with companies coming back and spending more time in those offices, which means more visitors can come in, not just from domestic but international as well. 
Austin Wurschmidt : That's great detail. Do you know offhand what percent of overall room night demand is from international tourism in that market or broader region? 
Tom Bardenett : About 20%, Austin, if you're asking the question of total international demand for all of San Francisco and San Jose. 
Sean Mahoney : And then Austin, just a follow-up for Tom. I think it's important that, that citywide, the 10 nights that Tom mentioned, APAC was actually booked this year. And so that's a function of some of the initiatives that the city has done to try to sell themselves. And so obviously, that's a big citywide. And so we continue to encourage San Francisco to aggressively market themselves and book toes, but that is something that, obviously, the more success they have will help the outlook for the market. 
Operator: Our next question comes from the line of Floris Van Dijkum with Compass Point. 
Floris Van Dijkum : Leslie or Sean, maybe if you can comment a little bit, I know you bought back a small amount of shares during the past quarter. Given your current -- the balance sheet strength given the improving operations, how do you think about and how do you weigh additional share buybacks? I know you've got some other ROI projects as well. But how -- I think what I'm trying to get is I think the market would probably word you if you were to increase your buyback activity. How do you think about that? And how do you think about how you allocate capital going forward? 
Leslie Hale : Sure. So for, look, we acknowledge that share buybacks remain attractive use of capital, and you've seen us be active every quarter. We've demonstrated the ability to be thoughtful with our approach towards capital allocation and our balance sheet gives us optionality. And we can pull multiple levers at the same time, right? And so we've been evaluating the right window to do that.  We have repurchased $70 million worth of shares this year. We've executed on our internal growth initiatives with great success. We've increased our dividend twice this year. And as I mentioned before, as we look at the -- at external growth that the backdrop has had some constructive shifts with seller mentality.  So I think the takeaway is that we're going to continue to be thoughtful and continue to leverage the optionality of our balance sheet as we look at the various capital allocation options available to us. But we acknowledge that buybacks remain very attractive. 
Operator: Our next question comes from the line of Anthony Powell with Barclays. 
Anthony Powell : I guess a question on the impact of events and concerts and whatnot on the quarter and the year, we talked about a lot in the past few earnings calls. Do you have any way to quantify the impact either in terms of EBITDA or compression nights? And looking to next year, is there a risk that this year was a heavy year? And I know [indiscernible] overseas next year, for example. So any way we can kind of like quantify this impact and look at the risk of any slowdown next year? 
Sean Mahoney : Yes, Anthony, while we appreciate the benefit of those special events, I think our locations are such that it didn't sort of move the needle portfolio-wide for us. It allowed -- when you look at sort of both how our weekday and weekends performed year-over-year, the growth rates were strong in both of those were as we appreciate, obviously, the compression created by those markets, it's not a move the needle for us. So we don't think it creates a headwind for next year. 
Leslie Hale : And we don't want to suggest that it was just those. I mean there was multiple concerts, sporting events, where we sit relative to various arts and entertainment is what's driving it. Those venues, if you recall, we're a year behind the rest of the recovery. And so I think it's a function of being situated to capture that demand less than it is sort of a spike in one particular concert. 
Anthony Powell : Got it. And then maybe one on the mortgage maturities next year in April, I think in terms of, we last talked about this, there have been a few kind of secured deals and work deals going to happen in the space. So what are your thoughts on addressing those maturities next year? 
Sean Mahoney : Sure, Anthony. It's one maturity next year. It's a CMBS loan that matures in the second quarter. We're confident that we'll be able to take care of that just for some numbers. That loan has over 14 debt yield and close to 2.5x coverage. So it is a very financeable loan in this environment because it's a very low LTV. And so you would expect us to have multiple options with which to refinance it, and it's something that we're going to take care of early next year. 
Operator: Thank you. Ms. Hale, we have no further questions at this time. I would now like to turn the floor back over to you for closing comments. 
Leslie Hale : All right. Thank you, everybody, for joining us. We do look forward to seeing many of you at NAREIT. We do hope that you will join us at our tour in Santa Monica to see the peer side. We think that it's going to be representative of the value that we're creating within our portfolio. Good afternoon. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.